Operator: Greetings, and welcome to the ADDvantage Technologies Group Report Fiscal 2022 Fourth Quarter and Year End Financial Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Brett Maas with Hayden IR. Thank you, Mr. Maas. You may begin.
Brett Maas: Thank you, operator. We are joined today by Joe Hart, President and CEO; as well as Michael Rutledge, the company's Chief Financial Officer and JD Jones, the new President of Fulton Technologies. Before we begin today's call, I'd like to remind you that this conference call may contain certain forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include among other things statements regarding future events, such as the ability of ADDvantage Technologies and its subsidiaries to maintain strategic relationships and agreements with certain original equipment manufacturers and multiple system operators, as well as the future financial performance of ADDvantage Technologies. These statements involve a number of risks and uncertainties. Participants are cautioned that these forward-looking statements are only predictions and may materially differ from the actual future events or results due to a variety of factors such as those contained in ADDvantage Technologies' most recent report on Form 10-K on file with the Securities and Exchange Commission. Financial information presented on this conference call should be considered in conjunction with the consolidated financial statements and notes included in the company's press release issued earlier today and included in ADDvantage Technologies' most recent report on Form 10-K. The guidance regarding anticipated future results on this call is based on limited information currently available on ADDvantage Technologies which is subject to change. Although any such guidance and factors influencing it may change, ADDvantage Technologies will not necessarily update the information as the company will only provide guidance at certain points during the year. Such information speaks as only of the date of this call. During this call, we may also present certain non-GAAP financial measures such as non-GAAP net income and certain ratios that are used with these measures in our press release and in the financial table issued earlier today, which are located at our website at addvantagetechnologies.com. You'll find a reconciliation of these non-GAAP financial measures with the closest GAAP financials and a discussion about why we believe these non-GAAP financial measures are relevant. These financial measures are included for the benefit of investors and should be considered in addition to not instead of GAAP measures. Finally, I would like to note the company has adjusted its fiscal year end date from September 30 to December 31. Accordingly, we are comparing the 12 month period ending December 31, 2022 to the 12-month period ending September 30, 2021. We are comparing the 3-month period ending December 31, 2022 which is our fourth quarter of 2022 to the 3-month period ending December 31, 2021 which was our first quarter in the 12-month period ending September 30, 2021. I'd now like to turn the call over to Joe Hart, President and Chief Executive Officer of ADDvantage Technologies. Joe, please go ahead.
Joe Hart: Thank you, Brett, and thank you to everyone joining us on the call today. 2022 was a very good year for ADDvantage Technologies, and I think we have positioned the company for continued success in 2023. Both of our segments grew, and both demonstrated resilience in the face of economic conditions and the ongoing global supply chain challenges. Our team responded nimbly and professionally, taking excellent care of our network, enterprise and work-from-home customers on the Telco side, and our carrier and OEM customers on the Wireless side. While our Telco business performed exceptionally well, we think we've only scratched the surface of the Wireless opportunity, meaning we have growth and cash generation still to come, in our opinion. The December quarter and the March quarter are often impacted by weather conditions up north on the Wireless side as well as the holidays and the end-to-end start of annual budget cycles on the Telco side. The fourth quarter of 2022 was no different in this regard. Our Telco division grew 1% over what was a strong December quarter last year, but revenue growth tailed off at the end of the quarter compared to the previous three quarters. However, our Wireless division actually delivered an 11% increase quarter-over-quarter, and a 49% increase in revenue year-over-year. Simultaneously, we benefited from the cost reduction initiatives we put in place throughout the second half of the year for Wireless, followed by a revenue quarter with improved margins to end the year. During the year, our improved profitability and cash generation enabled us to pay down our line of credit and strengthen our balance sheet and also provided added liquidity through a factoring arrangement. ADDvantage Technologies finished the full year at positive net income for the first time in 6 years and is poised for continued Wireless growth in 2023. This was a $7 million turnaround on the bottom-line year-over-year. Consolidated revenues increased 5% from the same quarter a year ago and 56% for the year. We also saw a margin improvement as gross margins increased 254 basis points for the year. Importantly, our operating expenses increased only 6% for the full year, even as we grew revenue 56%. This positions us for significant improvements in net income and cash generation in 2023 as we continue to grow revenue. Our 4G and 5G tower work for our Wireless division continues to grow as do opportunities for expansion in 2023. Our Telco segment delivered strong double-digit growth rates for 3 of the 4 quarters in 2022, reflecting continued demand for our optical transport and enterprise network offerings. The result is total company revenue of $19.6 million for the quarter and over $97 million for the year. While there is definitely some uncertainty created by economic headwinds and geopolitical tensions, we see another strong growth period for our Wireless division in 2023. There is some upheaval on the Wireless services provider side of the food chain that is creating opportunity for us the next several years. We have made some recent strategic hires on our Wireless team that we hope will help us exploit these impending opportunities. We see opportunities to expand our geographic footprint and to enhance our business with the wireless carriers this year. The 5G opportunity represents a multiyear growth opportunity for tower work across all 4 of the major Wireless carriers. Each of the carriers are investing billions of dollars in the expansion and the CapEx plans of the carriers are public and widely discussed. While some carriers may slow CapEx temporarily, the consumer demand for increased bandwidth and coverage continues to increase, thereby leading to the need to add cell sites and improve capacity. Our Telco segment had another positive quarter and an outstanding year in 2022. This was their seventh consecutive quarter of revenue over $11 million. Our Telco segment continues to generate solid and positive contribution margin to our company. With that, I'll now turn the call over to Michael Rutledge, our CFO, to provide a more detailed review of our financial results. Michael, please go ahead.
Michael Rutledge: Thank you, Joe. Consolidated sales increased $900,000 or 5% to $19.6 million for the fourth quarter from $18.7 million for the 3 months ended December 31, 2021. The increase in sales was due to increases in Wireless revenues of $800,000. Consolidated gross profit increased $700,000 to $5.3 million for the quarter compared to $4.6 million for the same period last year. The increase was due to an increase in the Wireless segment revenues of $800,000 and profit margins. Consolidated selling G&A expenses include overhead, which consist of personnel, insurance, professional services, communication and other cost categories, decreased by 16% or $600,000, for the 3 months ended December 31, 2022. The decrease in SG&A reflects the impact of our cost reduction initiatives and improved operating efficiencies. Net loss for the quarter was $500,000 or $0.04 per diluted share, based on 14 million shares compared with a net loss of $2 million or a loss of $0.16 per diluted share based on 12.7 million shares for the same quarter last year. Turning to the full-year results. For the period from January 1, 2022 to December 31, 2022, sales were $97 million, an increase of 56% compared to $62.2 million for the year ended September 30, 2021. Wireless segment revenue increased 49% to $30.8 million and Telco segment revenue increased 59% to $66.2 million. Gross profit was $27.8 million or 29% gross margin compared to a gross profit of $16.1 million or 26% gross margin for the year ended September 30, 2021. Operating expenses increased $500,000 to $9.8 million. So our operating expenses increased just 6%, while revenue increased 56%. Full-year net income was $500,000 or $0.03 per basic and diluted share compared to a net loss of $6.5 million in the prior year which benefited from a $3 million gain on extinguishment of debt for our PPP loan. This was $0.52 of a loss per diluted share for the year ended September 30, 2021. As Joe noted, this is our first full year of positive net income since 2016. Turning to our balance sheet. Cash and cash equivalents were $3.7 million at December 31, 2022, compared to $2.9 million as of September 30, 2021. We generated approximately $2.2 million in cash from operations for the year. As of December 31, 2022, the company had net inventories of $9.6 million. We continue to believe we are sufficiently capitalized with appropriate backstops to support near-term business conditions until more normalized business conditions return. This concludes the financial overview segment of our remarks. I will now turn the call over to the operator to facilitate any questions.
Operator: Thank you. [Operator Instructions]. Our first question is from Ken Peterson, who is a Private Investor. Please proceed with your question.
Unidentified Analyst: Yes. Thank you. Earlier in the year, in the conference call, it was discussed about a $2.4 million a year savings goal. How much of that was achieved in 2022?
Joe Hart: Hi, Ken. This is Joe Hart. So the $2.4 million was about $600,000 a quarter. We achieved about $400,000 a quarter of that and the rapid price of diesel fuel in the second half of the year kind of thwarted our goal of 600k. So it wasn't as robust as we hoped, but it was still quite significant and helped us improve both bottom-line and top-line. On the COGS side, we had a lot of very nice improvements, which helped our margin improvements that we reported here just a few minutes ago.
Unidentified Analyst: Okay. On the Telco sequentially, is that a typical seasonal lower sales in that quarter? I'm assuming it was the reason that Telco sales were down sequentially.
Joe Hart: That was part of it. It's a sales order-driven business. So when you're closed and your customers are closed for Thanksgiving week or Christmas to New Year's, it affects the selling period by about 20% for those 2 months. But this was also, I'll say end of network provider budget year. So that November, December tail-off, some years, it's significant, the year before in 2021, we didn't see it as much, but this year, it was bigger. So I think we get hit with that end of budget year and a slow start-up for the new budget year. That's pretty typical.
Unidentified Analyst: Okay. And lastly, with the supply chain starting to open up from Asia, how does management see the Telco segment being affected by that?
Joe Hart: Yes, that's the crystal ball question, Ken. For sure, we think it's going to have some impact. We don't -- at this time, know how much. Now as part of that offset, we made a pretty significant shift to optical transport equipment sales in 2022. There's still a tremendous amount of fiber network construction going on across the country. So we think that will help offset some of that chip shortage improvement and supply chain improvement. But until we really get further into the budget year, we won't know for sure.
Unidentified Analyst: Yes. On the optical equipment, are you saying that's the company is now a supplier to 5G infrastructure in a way?
Joe Hart: No. The Nave Communications is really the public telephone equipment provider to both. I'll say, the public telcos, so for switch centers and transmission hubs, but also to the private fiber network providers like Zayo, Everstream, CenturyLink/Lumen. Those companies that are providing both backbone as well as wireless hub fiber provisioning.
Unidentified Analyst: Okay. I guess I had one last question on the CapEx budgets of the 4 carriers. In your opinion, how many years is this cycle going to see a CapEx sort of a secular trend in the build-out of the next generation. Is that a 4 to 5 year or what does the industry think right now?
Joe Hart: So a year ago, I would have answered this slightly differently, but in 3G and 4G, those cycles lasted roughly 10 years. But we started building our first 4G sites in 2012. And here we are, 11 years later, and we are still doing, probably 40% to 50% of our wireless work is 4G frequency expansion for either additional antennas, radios, et cetera. So 4G is still going strong in its 11th year. 5G, I would say, round numbers, each of these cycles tends to be 10 years with a big bulk of the initial build-out in the first 3 to 4 years. But as more frequencies and spectrum gets auctioned off by the FCC, I mean, you can keep these cycles just going on and on, most of the voice traffic is on 4G.
Unidentified Analyst: Okay. So the Wireless division will be having 4G and 5G sales in the next few years and the 4G is not necessarily part of the CapEx increases for the carriers. Is that kind of, correct?
Joe Hart: Well, I think the bulk of it is 5G related, but you still see some additional radios being installed at the top of the towers that are maybe combination, 4G, 5G or frequency sharing. I mean, there's still some amount of the CapEx being spent on 4G.
Unidentified Analyst: Okay. I appreciate. Those are my questions. Thank you.
Operator: Thank you. Our next question is from Cliff Puchalski, who is a Private Investor. Please proceed with your question.
Unidentified Analyst: Hello. Congratulations for great results. My question is about the current quarter. First of all, I'm not sure, I haven't been tracking the weather throughout the United States. But this winter, through March, have you seen the kind of like detrimental weather events that have prevented you from increasing revenues? And also this current quarter, how are the capital budgets going? Are there any cuts because of the unstable economic conditions and the banking crisis and so on?
Joe Hart: We saw some weather impact us in January and February up in Illinois, Wisconsin, Michigan, Missouri, where we worked up north. We got hit with an ice storm here down in Texas in, I think, late January, early February. So we will see it for either a few days at a time or an occasional Arctic blast will come in up north in the Midwest, but that's pretty typical and traditional in our business. As far as CapEx budgets, we haven't been impacted by them yet. If you read the earnings releases from T-Mobile and Verizon, AT&T, you'll see that Verizon and T-Mobile, one of them announced about a 10% decrease in total CapEx and the other one announced, I think, 22% decrease in CapEx. They don't give any details. So you don't know how much of that is on the wired side of the business versus the wireless side of the business. AT&T, I think, like all the carriers, AT&T will trim back a little bit, but AT&T still has a lot of their new C-band spectrum to deploy here this year in 2023. So we don't predict any major drop off that will impact us on the carrier spending side. I will tell you that I'll caveat that. It's still a little early to know that on our side because while their CFOs of the carriers may be announcing it, last month or this month, we probably won't see those impacts till sometime in the spring. But I don't think we're going to see too much. And quite frankly, we are still a small player in the overall ecosystem in the United States' wireless world. So I think we'll be just fine. And we have forecasted a pretty aggressive growth plan. So we'll see where it goes.
Unidentified Analyst: So being a small player, I assume you believe that taking market share is more important than capital spending. Can you just remind us why you're taking market share? How are you better than the bigger players?
Joe Hart: Yes. It starts with an expansion of our geographic footprint. We've begun to do work over in the Southeast region, the Texas, adjacent states of like Louisiana, Mississippi, Alabama, states that are within, I'll say a 4-to-6-hour drive from Dallas or Houston, et cetera. And we do the same thing up out of our Chicago headquarters, expanding into, whether it's Wisconsin or into Michigan, Indiana, Iowa, et cetera. So we expand share with an expansion of geography. But we also are trying to go deeper into all 4 of the carriers. Last year, we had a big push with one of the new carriers, DISH Wireless. And this year, we're trying to expand our business with Verizon and T-Mobile. We've always been for more than 25 years; Fulton Technologies has been a fairly standard supplier to AT&T.
Unidentified Analyst: And wherever you expand, you find you're able to get more jobs because you do a better job than the local suppliers, or is it that there is -- sorry, go ahead.
Joe Hart: Yes. That's certainly the game plan. But last year, we expanded into 2 markets where the customer didn't deliver the volume and continuity of work that they had, I'll say, promised. So we ended up finishing the sites we had and we withdrew from those 2 cities. But we also expanded into about 8 other markets that we weren't in previous to last year and it worked just fine. And the goal is go in on the back of one carrier and then add business from another two, maybe three carriers once you're there and plant your roots.
Unidentified Analyst: Okay. Thanks for taking. Good luck.
Operator: Thank you. Our next question is from George Gaspar, who is a Private Investor. Please proceed with your question.
Unidentified Analyst: Thank you. Good day to everyone. Joe, first question would be, if you could give me the -- give us the counts on your employment situation and your due diligence at the end of the year and how you're seeing that going forward? In other words, your crew count at the end of the year, and how did that change maybe in the last quarter of the year and then your management of the Telco operation? And if I recall, you maybe had 300 or so working in that division. Can you update us on where you're at on employment and where you see yourselves at this point as we get closer to the end of the first quarter?
Joe Hart: Sure. I'll try to answer your questions but as I always remind you that there's a little bit of a competitive information aspect to this, George. So I'll be a little bit vague. But when we hit the big holiday periods like Thanksgiving, Christmas and we hit the cold weather months or bad weather months, we probably drop our crew count back into around the mid-20s. And then, we're currently back up in the mid-30s here in early March. So the weather has improved, the work has picked up. I think our goal is to try to be up in the mid-40s to maybe 50s on crew count this year. And you've asked me this question every quarter now for about year-and-a-half. So I know you're familiar with it, but to any new listeners, the crew count on the Wireless side equates to revenue. So that's a clear bellwether. But we also try to mitigate our risk with crew count on the Wireless side where we use somewhere between 50% to 60%, sometimes 65% of subcontractor crews and our in-house crews, which is our own personnel probably average in that 35% to 45% range. So we try to offset the risk of the peaks and valleys in the production year by using subcontractors that when we don't have sufficient workload, we don't have any guarantee to use them. So that helps us keep our costs under control and keep our overhead under control.
Unidentified Analyst: Okay. All right. And then on the Telco side, are you still standing pretty clear about the same employment status? I thought I remember it was maybe 300, but I may be way wrong on that.
Joe Hart: Yes. You're way too high. We're under 200. I mean remember that Nave Communications is essentially a virtual company. We have only a handful of key sales employees. All the inventory and the pick, pack and ship, and the test and repair of boards and things like that is done by our 3PL partner, Palco Telecom, out of Huntsville, Alabama. And Nave had a huge year, and it was done by that same handful of employees who worked a lot of hours and a lot of extra days to make this expansion year happen. And on the Triton side, they had about a roughly 50% increase in their business this past year. And we added probably less than half a dozen headcount throughout the year. So I think a good job managing the production efficiencies in 2022.
Unidentified Analyst: That sounds very good. Thank you. The next question would be back on the Wireless side in terms of the tower work that you're doing. Has it changed very much relative to the assumptions that your customers are looking for it to get done? And could you possibly give us a thought in this tower business if there's some more opportunity for significant change-out on towers from equipment that's on them now and possibly where the customers want to really go upscale from where they were installing equipment 2 and 3 years ago? Any thoughts on that?
Joe Hart: Sure, many. I don't think the work has changed between last year and this coming year. In any 3G, 4G, 5G cycle, they start in the major metropolitan urban areas, expand into the suburbs. They cover the highway corridors and then they start expanding coverage out to the rural or secondary, tertiary cities to cover an entire state. So we've just finished probably the second year of 5G. So the location of the sites will tend to be, won't be in Dallas, but it will be out in Longview and Midland and other parts of Texas. And then, in ensuing year or two after that, it will be out in the outlying rural areas. So geographically, you're kind of constantly moving, but then right behind that, after about the third or fourth year, you'll be back in those urban areas, expanding capacity, adding frequencies, adding radios, changing out antennas to the next generation of technology. So the work is always, it's moving outward and then it's moving back, I'll say, location-wise. And then, yes, the technology is constantly improving. So the carriers are constantly trying to have the latest and greatest and highest-quality signals being sent out to their subscribers. So I just think it's a robust food chain that's constantly improving and constantly changing out, but it's not really reducing the space that they need on the towers. I'll say the tower owners, they have their own earnings releases where you can read up from Crown Castle and American Tower, and you can read about their 5 and 10 year forecast for leasing space out on the ground and on the tower. So I think that's just going to continue to evolve and grow. And every country is going to need 2x or 3x the number of macro cell sites that they have today, because the cell sites are shrinking in diameter as the speed and the bandwidth increases and the demand for video streaming, et cetera, et cetera, requires faster speeds, higher bandwidths, which shrinks the cells, which then creates holes, which creates a need for more cells. So this is a business that's going to be constantly growing like an amoeba and that's why they call it cellular, right? It's a honeycomb and the edge of all the cells have to touch for your calls to be handed off from cell to cell to cell as you're driving in your car. So this need for growth and expansion on cell sites never really goes away. There is some natural ebb and flow at the start of one of the big G cycles compared to its later use, but it's always growing.
Unidentified Analyst: Okay. And then ongoing, we talked a little bit in the last call about change outs in equipment that are going on the towers, and you've related to that in your last comment you've made. But how do you see yourselves, do you see chances for the company to get involved in going away from the towers and getting more broadly associated with sub-work away from towers? Can you talk about that?
Joe Hart: I'm not sure what you mean by sub-work? Are you talking about like underground work?
Unidentified Analyst: Underground, right. And just taking the signals further away from towers and making sure that they equate appropriately getting further away. And I assume that there's a lot of equipment that has to be installed further away from the towers. And does this open up an avenue for you to get more broadly involved?
Joe Hart: I think medium to long-term, meaning sort of 3 to 5 years. Look, there's plenty of opportunities today for us to enter into fiber optic network construction, but that's not our core competency. That's not the -- I'll say, the motor vehicle and equipment fleet that we have set up. We have it set up for Wireless. So there could be small cells, which are really telephone poles, light poles, pole-like structures that are not big towers. Those need to increase in volume over the coming 10 years. That's something that if we had the opportunity next week, we would probably take advantage of it. So I think there's other ways for us to play. But we're still so young in this business inside of ADDvantage Technologies that we need to get really good at what we do already and very profitable and consistently profitable in what we do. first, before we start trying to expand sideways into additional services. If it flows from either the customer that we have in the location we're at and they offer us the opportunity to do additional services, if it makes sense, we'll certainly take advantage of it.
Unidentified Analyst: Right. Well, I appreciate very much your analysis of this recent response to my last question here. And it's a very positive feeling that one can get about the real opportunities. And just in closing, I'm sure that there's going to be more opportunity on the towers as we move away more from China equipment that's up on towers and the encouragement that's in the United States now that we've got to reduce our capacity coming in from China in terms of equipment and it has to grow from here. And I would think that that would offer you more opportunity going forward.
Joe Hart: Yes. Yes, it should. Yes, it can. I think there's a lot of fanfare related to the rip and replace of Huawei or ZTE equipment that's out there in the network. The current Congress has not really funded that effort yet via the FCC. So I think there's still a lot more politics involved in that, George, than I ever hope to understand be involved with so.
Unidentified Analyst: Okay. All right. Thank you kindly. And good luck to you guys this year. Hopefully, this is going to be a great 2023, and that it will lead to some very significant expansion going forward. Take care.
Operator: [Operator Instructions]. There are no further questions at this time. I would like to turn the floor back over to Mr. Joe Hart for closing comments.
Joe Hart: Thank you, operator. I just want to thank everyone for their participation in the call today and any interest that you have in ADDvantage Technologies. We have a good, strong management team, and we've added to it recently on the Wireless side. We continue to believe in this business. We feel like we made a significant turnaround on the bottom-line between 2021 and 2022. We have every intention of continuing that for the full-year 2023. So thank you for your support and thank you for your attendance today.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.